Operator: Good morning and welcome to the Erie Indemnity Company Second Quarter 2022 Earnings Conference Call. This call was prerecorded and there will be no question-and-answer session following the recording. Now, I’d like to introduce your host for the call, Vice President of Investor Relations, Scott Beilharz.
Scott Beilharz: Thank you and welcome everyone. We appreciate you joining us for this recorded discussion about our second quarter results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website, erieinsurance.com. Before we begin, I would like to remind everyone that today’s discussion may contain forward-looking remarks that reflect the company’s current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause such differences, please see the safe harbor statements in our Form 10-Q filing with the SEC dated July 28, 2022, and in the related press release. This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of the Erie Indemnity Company. With that, we will move on to Tim’s remarks. Tim?
Tim NeCastro: Thanks, Scott, and thanks to all of you for listening in today. It’s hard to believe we’re already halfway through 2022. First half of the year was a time of transition and new beginnings. Back in April, we began bringing a small number of employees back to our home office. These employees volunteered to be the first to work on our new Thomas B. Hagen building and they have been pioneers in helping us shape the employee experience as we move into a new era of work. That new era began in July, as we started bringing 200 more employees back to work on site each week, a process we expect to continue for several more months. As we do this, we are finding a balance between flexibility, productivity and connectedness. Wherever possible, employees are working on hybrid schedule, with some days in the office and others remote. This allows employees to have the face-to-face interactions that are a key part of building strong relationships, while still giving them the flexibility they have come to value from working virtually. It’s also the core of our business strategy, combining the human touch with an enhanced digital experience. With that said, we know many employees prefer the convenience of fully remote work. And without a doubt, the pandemic has only heightened the competition for talent and work opportunities. So while hybrid remains our preferred model, we are also taking initial steps to expand remote opportunities in target areas and job families facing challenges in recruiting and retention. We believe this move will ultimately help to alleviate some of our talent challenges, with minimal impact to our relationship-based culture. Talent is just one of the many challenges we and so many other companies are facing. The property and casualty insurance industry has been particularly affected by inflation. According to the Insurance Information Institute, replacement costs associated with homeowners and auto insurance, which are our largest lines, are up more than 10% over last year. We too are experiencing higher vehicle and building repair costs, sometimes exacerbated by longer times for repair. Disruptions in the supply chain for things like vehicle sensors are root cause of this. These inflationary cost increases are leading to higher claim severity than we contemplated in our pricing, driving a higher-than-expected combined ratio, which stands at 113.7 for the first half of 2022. Across the insurance sector, everyone is feeling the pinch. Where Erie differs however is in how we leverage the strength of our financial stability, thanks to our policyholder surplus, which stands at $10.6 billion. The other good news is in the strong premium growth we’re seeing, which was 8.6% for the quarter. Overall, policies in force grew by 3.1% and our retention rate is also outstanding at 90.3% for personal and commercial lines combined. I’ll now turn it over to Greg Gutting for a deeper review of our financials. Greg?
Greg Gutting: Thanks, Tim. Good morning, everyone. Thank you for taking time today to be a part of the Erie Indemnity Company second quarter earnings call. As you will see in the results I share with you today and as Tim mentioned earlier, Erie has not been immune to the inflationary conditions of our economy, which have had the most impact on the settling of auto and property claims. The second quarter of 2022 was impacted not only by the stormy weather experienced in June, but also by the increased severity in our auto and property claims. With that, I’d like to jump into our results for the second quarter. Starting with the Exchange, the insurance operations we manage. Direct written premium growth for the second quarter was 8.6%, driven by substantial growth in new business premium, which climbed 10.7% over the prior year. The increased loss severity driven by inflation, combined with storm losses, generated a combined ratio for the quarter of 122.4%. This, combined with the down financial markets, resulted in a $900 million decrease in the Exchange’s surplus for the quarter. Despite these results, the Exchange recorded surplus of $10.6 million at June 30 and continues to maintain a very strong balance sheet. Turning our attention to Indemnity, in the second quarter, Indemnity generated net income of $80 million or $1.53 per diluted share compared to $79 million or $1.51 per diluted share in the second quarter of 2021. For the first half of 2022, net income was $149 million or $2.84 per diluted share, down slightly from the $153 million or $2.92 per diluted share recorded in the first half of 2021. Operating income increased 22.3% or $19 million in the second quarter of 2022 compared to the second quarter of 2021. Indemnity also saw an increase in operating income of 16.8% or $27 million for the first 6 months of this year compared to the first 6 months of last year. Indemnity’s management fee revenue from policy issuance and renewal services increased $42 million or 8.4% in the second quarter of 2022 compared to the second quarter of 2021, while for the first 6 months of 2022, Indemnity saw an increase of $75 million or 7.8% compared to the first half of 2021. Management fee revenue allocated to administrative services decreased $200,000 in the second quarter and $700,000 in the first half of 2022 compared to the same periods last year. Turning to Indemnity’s cost of operations for policy issuance and renewal services. Commissions increased $14 million in the second quarter and $34 million for the first 6 months of 2022 compared to the same periods in 2021. The increases in agent compensation in both periods were driven by increases in the direct and assumed written premiums of the Exchange, partially offset by a decrease in agent incentive compensation. Non-commission expense increased $9 million in the second quarter of 2022 compared to the second quarter of 2021. Information technology costs increased by $5 million, driven by increased hardware and software costs as well as increased professional fees. Also, administrative and other expenses increased over $5 million in the second quarter of 2022 compared to the same period in 2021, driven by increased professional fees and increased personnel costs related to compensation. For the first 6 months of 2022, Indemnity saw an increase in non-commission expense of $14 million, driven by increases in technology costs of $4 million and administrative and other costs of $9 million. These increased costs were primarily driven by increases in hardware and software costs as well as professional fees compared to the same period in 2021. Investment losses before taxes totaled $2 million in the second quarter. And income from investments before taxes totaled $1 million in the first 6 months of 2022, down significantly from the same periods in 2021. This was driven by lower limited partnership earnings and realized and unrealized losses recorded in 2022. We recorded limited partnership earnings of $2.5 million in the first 6 months of 2022 compared to earnings of over $15 million in the same period in 2021. I will remind you that limited partnership asset classes and runoff, and we continue to expect more limited and inconsistent earnings from this asset class in the future. Also, with market conditions down substantially in 2022, we incurred realized and unrealized losses of nearly $18 million in the first half of this year compared to gains of almost $4 million in 2021. As always, we take a very measured approach to our capital management, and we maintain a strong balance sheet. And for the first 6 months of 2022, our financial performance has enabled us to pay our shareholders over $103 million in dividends. Thank you again for your time today. Now I will turn the call back over to Tim.
Tim NeCastro: Thanks, Greg. I mentioned earlier in the call that the core of our strategy combines the human touch with enhanced digital experience. That involves embracing technology in ways that are distinctly Erie by bolstering our unique asset, the relationship with our independent agency force. After more than 2 years of virtual meetings and celebrations, we’ve been excited to reconnect with our agents in person over the past few months at annual branch meetings held across our footprint and at our combined agent task force meeting, which we hosted recently in our hometown of Erie, Pennsylvania. Something we’ve been discussing with agents is how we can make sure they are well equipped to meet the changing needs and preferences of our customers for new and enhanced products and services. The new extended water product for personal lines is one example of that. This represents Erie’s entry into the private flood market, which includes sewer or draining backup coverage plus flood barrels under a single limit. Following a successful pilot in Indiana and Virginia earlier this year, we rolled it out to two more states, Tennessee and West Virginia, in June. It’s already been added to more than 2,000 policies in those 4 states. We’re also able to use data from this pilot to appropriately monitor our risk and roll out the coverage to additional states. On the services side, chat is now available to all users of our online account platform. Our digital services being handled over 15,000 chats through May of 2022 and more than 900,000 households now have an active online account. Capabilities of our mobile app were also recently strengthened by an integration with Safelite, Erie’s third-party glass plane vendor. This allows users to be in an auto glass claim, which is a high-frequency claim occurrence directly from the app. Before we close, I’d like to make a note of a few third-party recognitions. J.D. Power ranked Erie first in its 2020 U.S. auto insurance study in 2 regions: Mid-Atlantic and North Central. Ranking is based on customer satisfaction scores in billing, claims, interactions, policy offerings and price. In other recognitions, Forbes listed Erie on its 2022 list of America’s Best Employers for Diversity. Out of 500 companies recognized across all industries, Erie was ranked #48 nationally. Finally, Erie’s First Notice of Loss department was named a top contact center in its size and category across all industries by BenchmarkPortal. In 2021, Erie’s FNOL customer satisfaction rates improved nearly 90%, a reach significantly higher than the industry average. This commitment to a high level of service is what has always set Erie apart. We remain steadfast in that commitment, especially in these challenging and changing times. That’s made possible by the dedication of our employees and agents. And it’s reinforced by the ongoing support and trust of our shareholders. I’d like to thank all of you for listening in today and for your continued interest in Erie.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.